Operator: Good day, and welcome to Evonik's Q1 2014 Earnings Conference Call. At this time, I would like to turn the conference over to Tim Lange. Please go ahead, sir. 
Tim Lange: Yes. Good morning, ladies and gentlemen, and welcome to our Q1 earnings conference call. My name is Tim Lange, Head of Investor Relations. And with me are Klaus Engel, CEO; and Ute Wolf, CFO of Evonik. Today's a pretty busy reporting day in the chemical space, so let's jump right into our presentation. And then, this will be followed by the usual Q&A session. Yes, with this, I hand over to Klaus Engel. 
Klaus Engel: Thank you, Tim. Ladies and gentlemen, good morning, and welcome to our Q1 earnings conference call. About 1 year ago, we reported our quarterly figures as publicly listed company to you for the first time and a lot has happened since then. We are now covered by 21 analysts and counting. We, management and the entire Investor Relations team, are in a constant dialogue with you, and this dialogue has certainly been fruitful for us, and we hope the same is true for you, as well.
 Here's a quick look at our agenda for today. As usual, I will briefly review the highlights of the quarter before Ute will go in more detail on the financials and the developments in our 3 segments. And as usual, I will conclude the presentation, and then we will open the line for your questions.
 Financial highlights. In the first quarter of 2014, the good volume development from the second half of last year continued. We were able to expand volumes by 5%, and this marked the sixth consecutive quarter with increasing volumes. Demand for our products was strong across nearly all businesses 
 [Audio Gap] 
 coatings and construction industries. Due to, on average, still lower prices and moderate currency headwinds, sales overall came in on prior year level of EUR 3.2 billion. Across the group, prices declined by 4% in Q1, putting pressure on our earnings and resulting in an adjusted EBITDA of EUR 463 million. As you are well aware, the decline compared to prior year was mostly driven by weaker prices in amino acids and part of our C4 value chain, and for these products, prices were still exceptionally high at the beginning of last year. Therefore, in Q1, we are comparing against the, by far, strongest quarter of last year. This base effect will ease out over the course of 2014.
 Again, our segment Resource Efficiency proved to be the most resilient part of our portfolio. Its margin even increased to an impressive level of almost 24%. Thanks to the disciplined net working capital management, we generated a strong operating cash flow in Q1. This resulted in an increase in our net cash position to EUR 583 million, forming a strong financial basis, both for our internal and external growth ambitions. For the full year, we confirm our outlook. Today, we continue to expect slightly higher sales and an adjusted EBITDA between EUR 1.8 billion and EUR 2.1 billion.
 Let me take this opportunity to once again highlight our active portfolio management today. Over the last years, we have successfully demonstrated our ability to actively manage our portfolio. We have effectively transformed Evonik from a conglomerate into a pure-play specialty chemicals company. At the same time, we divested also chemical businesses that did not meet our strategic or financial requirements anymore. At the same time, we strengthened our key activities by bolt-on acquisitions. In the first quarter of this year, we continued on this road of active portfolio management. Firstly, we signed the sale of Stoko Professional Skin Care to the British Deb Group. Thereby, we continue to direct our portfolio towards high-growth and high-margin specialty chemical businesses. The divestment enables us to fully focus our efforts in the remaining Personal Care activities, on future growth and on product mix improvements through accelerated innovation. Secondly, we also made a major step forward in executing the proposed restructuring of our lithium-ion activities. We signed an agreement to transfer our shareholding in Li-Tec and Deutsche Accumotive fully to Daimler. And last but not least, we acquired Silbond, a U.S.-based producer of highly specialized organosilanes. The acquisition is a good example of how we intend to move forward with regard to external growth, our preferred targets, our growth businesses, with leading market and technology positions, which are earnings per share and margin-accretive for our group and are operating in similar or adjacent markets. To support our growth path, we will put a larger emphasis on external growth in the future. A few smaller acquisitions like the mentioned Silbond deal are currently under consideration and could be realized already during the remainder of 2014. Larger acquisitions are not ruled out as well, but of course, they just do not happen at the click of a button. Our strong balance sheet offers us considerable opportunities well within our existing gearing target. We have the financial capability to acquire significant midsize targets. By doing so, we prefer to strengthen the less cyclical, more defensive parts of our portfolio. And while, obviously, every acquisition has to fulfill clear, strategic and financial criteria, we will continue to constantly challenge every existing part of our portfolio, keeping the same strict principles in mind. As the most recent example of Stoko demonstrates, we are taking active decisions also on the divestment side.
 I will also like to highlight 2 R&D projects, which are illustrative examples and which will contribute to the future success of Evonik. In March, we decided to build the world's first plant for the production of AQUAVI Met-Met, a new source of methionine, specially developed for shrimps and other crustaceans. The new product reflects the different eating habits of crustaceans compared to other types of fish, and hence, increases nutritional efficiency in aquaculture for these animals significantly. It was developed in close collaboration with our customers and demonstrates our innovation leadership in animal nutrition. The plant in Antwerp, Belgium will be integrated into the existing methionine production platform, and it is scheduled to commence operation in late 2015. The investment volume here is in the lower double-digit million euro range.
 Over the course of the last month, we have established a new technology platform for the production of silane-modified polyurethane binders. These enable the production of innovative automotive finishes, making them more flexible and, at the same time, also more scratch-resistant. The binders can be tailored to the needs of our customers, the coating formulators. This is a result of our expertise, both in silane and also cross-link of chemistry, our understanding of the market and our intense collaboration with prominent players in the automotive and coatings industry. With that, I would like to hand over to Ute for details on our financials and on our segments' performance in the first quarter. 
Ute Wolf: Thank you, Klaus. Also from my side, a very warm welcome. As Klaus already mentioned, Q1 was again a quarter with strong volume growth, which offset price declines and resulted in organic sales growth of 1%. Combined with slight FX headwinds, sales were flat year-on-year. Adjusted EBITDA was lower than in the previous year and came in at EUR 463 million. For yet another quarter, we have to compare our performance against the tough pricing base for amino acids and C4 products. We have seen prices stabilizing in the methionine since the beginning of Q3 last year and even slightly improving in butadiene since August of 2013. However, on average prices in these products, we are still notably below the prior year in Q1. As a result of further CTA funding and the redemption of the Degussa bond at the end of 2013, our adjusted net interest expense improved by EUR 40 million. The adjusted tax rate in Q1 was 28%, and adjusted earnings per share came in at EUR 0.40.
 Let's take a deeper look at the developments in our segments. In Consumer, Health & Nutrition, sales declined slightly compared to both prior year and prior quarter. While volumes improved compared to last year's Q1, prices in here, especially in feed amino acids, were lower. Consumer Specialty saw again solid demand, but sales and earnings were lower year-on-year. In Baby Care, last year's Q1 sales and earnings have been exceptionally high, after the accident at Nippon Shokubai's acrylic acid facility. This situation has now normalized, resulting in a slight earnings gap to prior year. Additionally, rent up cost for our new plants and personnel in Baby Care are weighing on the results. In Health & Nutrition, prices for amino acids were again lower than in prior year. But the trends have clearly improved. In methionine, we have seen more or less stable prices over the last 6 months. As expected, volumes in Asia declined seasonally after the Chinese New Year, so not as strong as last year. Most other regions have shown a pretty healthy supply and demand balance, and we expect the sequential volume trends to turn positive again in Q2 also in Asia. All in all, our methionine business delivered upon our expectations.
 The same does not apply for our lysine business. In lysine, the severe competition in the U.S. has further intensified in Q1, leading to unsustainably low price levels in the industry. As a first positive sign, major players have already signaled to take out capacity and in Europe, first price stabilization effect became visible towards the end of Q1. We will carefully monitor how these measures will change the dynamics in the market and if the business meets our profitability criteria again. Nevertheless, we do not expect a short-term recovery. Additional headwinds came from our health care business, where we recorded a slow start into the year. Some projects in our active pharmaceutical ingredients activity were delayed and are expected to only materialize over the course of 2014. Additionally, the business struggled with unplanned production downtime in the U.S., which was a consequence of the harsh weather condition.
 Resource Efficiency recorded another strong quarter. After the typical seasonal slowdown in Q4, the start into the year proved to be better than in 2013. Sales increased by 4%; EBITDA, even by 10%. The strong margin improvement was, on the one hand, driven by good underlying business performance, especially in Coatings & Additives; on the other hand, also the final compensation after our exit from the photovoltaic industry in 2012 and '13 contributed to the results with a low single-digit million euro amount. In Inorganic, we saw good volume development and stable prices, but as already entire quarter faced some headwinds from currency. Silica demand from the tire industry was most favorable in Europe and the U.S. At our site in Yokkaichi, an incident at a partner's facility caused downtime of the integrated production platform for fumed silica and silanes, resulting in a mid-single digit million euro negative effect. This will also partly persist into Q2. But as you can see, it does not hamper the segment's strong performance. This new recovery in Coatings & Additives was helped by the mild winter in Europe, benefiting our product for the coatings and construction industry. Crosslinkers showed strong performance but will face to ramp up cost for its new production facility in Shanghai in the upcoming quarter.
 Turning now to Specialty Materials. Sales remained more or less flat, with good volume development offsetting negative pricing. Increasing volumes were backed by further ramp up in PA12 sales. The underlying demand situation in PA12 was overall solid in Q1 but differing by end of Q2. Positive support came from accelerating oil and gas projects in South America and from the automotive industry, where passenger car registrations rose especially in Europe. Demand from photovoltaic customers remained weak. Additionally, insurance payments from the accident in the CDT plant have faded out, leaving an earnings gap to prior year as the plant is not yet back to full utilization. This base effect will continue throughout most part of 2014. The demand situation was also solid in MMA and PMMA, helped again by the mild winter in Europe. But margins in MMA were pressured by high acetone prices which were not fully passed onto our customers yet. On top of that, Japanese competitors currently benefit from positive currency tailwinds, giving them a competitive upside.
 Turning to Advanced Intermediates, we saw lower sales and earnings compared to last year. Sequentially though, some seasonal and one-time effects in the C4 chain eased out and prices recovered for most of our products across the chain. Although the recovery was maybe a little more sluggish than expected, we experienced an earnings increase compared to Q4. We continue to believe that the positive pricing trend will continue slowly as the year progresses. In Q1 2014, we generated a strong operating cash flow. This development was heavily supported by improved discipline in net working capital management for the start into the year. Operating cash flow even overcompensated investing cash flow despite increased cash out for CapEx of EUR 209 million and the acquisition of Silbond for around EUR 40 million. As a consequence, our net cash position from year end even increased slightly to now EUR 583 million. Given the outflows of our CapEx program of up to EUR 1.4 billion in 2014, the total dividend of EUR 1 per share and further CTA funding in this year, we stick to our guidance that our net asset position will turn into a moderate net financial debt position again towards the end of this year.
 Let me finally add a quick remark on pension. We had to adjust the interest on our pension liabilities in Germany downward to 3.25%, which resulted in an increase in pension provision on the balance sheet by about EUR 640 million to now about EUR 4 billion. This also has implications on our leverage ratio, which at the end of Q1, stood at 1.8x. With this, I would like to hand back to Klaus. 
Klaus Engel: Thank you, Ute. Ladies and gentlemen, let me now conclude the presentation with a confirmation of our outlook for 2014. Global economic conditions have moderately improved in Q1, supporting our macro expectation of growth, picking up slightly in 2014 compared to prior year. Nevertheless, we see some uncertainty especially in emerging markets, and in particular, in relation with the conflict in Ukraine. Under these circumstances, we confirm our outlook for slightly rising sales compared to 2013 and an adjusted EBITDA between EUR 1.8 billion and EUR 2.1 billion.
 Looking into Q2, we expect the positive volume trend to continue. The favorable development in many of our businesses should persist, supported by year-on-year improved demand. For example, from the automotive or also the coatings industries and why we have seen prices stabilizing over the last month, there is, as I said, still some uncertainty about the development of pricing in key products for the foreseeable future. Ramp up costs for new plants will also continue to weigh somehow on earnings before the contributions from these investments will actually become visible. So to sum up our presentation, we put a tough quarter behind us, facing a still challenging pricing situation in some major product segments. However, we are satisfied with our methionine business and we are, as Ute has rightly pointed out, very pleased by the performance in Resource Efficiency. Going forward, we will continue on the road of active portfolio management. As we have proven in the past, we will put even more emphasis on strengthening our portfolio and we are prepared also to take actions if the right opportunities arise. This ends our presentation, and I hand now back to Tim for opening of the Q&A session. 
Tim Lange: Yes, thank you, and I will hand directly over to the operator for the first question. 
Operator: [Operator Instructions] We come to our first question for today, and it's from Thomas Gilbert from UBS. 
Thomas Gilbert: Three questions, on superabsorbent polymers, then on methionine and then on corporate. On the superabsorbent polymers business, 2 things. Could you quantify when the new Saudi Arabian plant will make a profit, a contribution to EBITDA, in which year or which quarter? And also, could you comment on what's the Nippon Shokubai effective capacity utilization rate versus last year? The second question, on methionine, looking out to, let's say, 2018, if you take the formulation you developed for shrimp feed, as a percent of the total offer, what would you think that formulation will account for relative to chicken and pigs and et cetera in 2018? I think it's around 5% to 10% today. Do you expect that share to grow? And also, are you premarketing your Singapore volumes already? And are your -- is your Malaysian competitor -- do you see them in the market premarketing the product? And just the final one is an update on cost savings. Could you just remind us again on the gross and net cost savings contribution from the EUR 250 million program this year, whether you see any acceleration, deceleration or whether it's on plan? 
Ute Wolf: Maybe I start with the last question, admin excellence. I think we pointed out several times that this program is starting this year. We have developed the measures, we are now putting them into concrete project. So I think the major impact will be seen in next year and 2016. Nevertheless, of course, we are targeting for small double-digit amount this year in net effect. Then coming to your question towards Baby Care. The ramp-up of the new plant in Saudi Arabia is according to plan. The material certification is about to be finished. We have already delivered the first commercial volumes. Please keep in mind that in the production, we hold a minority, so that is only an equity contribution with this. And in the marketing joint venture, we have 100% ownership, so this is what is going to our P&L and balance sheet. I think we usually do not comment on capacity utilization of a single product. So I please ask for your understanding that I will not go into detail there. For aquaculture, this is both fish and shrimps. This is now regarding your methionine question. We think that will be roughly 5% of the overall methionine volume in 2018. Keep in mind that the normal market growth, of course, is also increasing the volumes of methionine over time. The volume from today's point of view is not ebbing but the margins are higher. So I think, overall, it's a very sensitive -- a sensible step to do so. 
Thomas Gilbert: And regarding the pre-marketed volume, have you started to premarket methionine volumes out of Singapore? 
Ute Wolf: I think we very diligently are introducing the volumes to the market. That, of course, means how we manage our production site. And of course, we take that into our marketing efforts already all the time. 
Operator: And then we come to our next question for today. It's from Martin Roediger from Kepler Cheuvreux. 
Martin Roediger: Basically, it's all about M&A. You say that large acquisitions are not ruled out, and I understood you are prepared to go for midsized acquisitions. Can you define what you mean as midsized and what's large sized? And maybe can you remind us about the financial criteria you have for M&A targets? And related with this M&A question, does any interest or any acquisition change your intention, if it's midsize or large, your intention to go for your EUR 6 billion CapEx program or can you do both at once? And finally, on M&A, and on potential divestments, did I understand you correctly that you consider a disposal of your lysine business if this business does not recover in the foreseeable time? 
Klaus Engel: To start from the last question, of course, we see some particular headwinds right now in the lysine business. But as you know quite well, we are one of the leaders in this technology. We have a long-standing position here in the market, and we see already a consolidation in this industry. We want to be the guys who drive the consolidation. So we do -- to be very frank and candid here, currently, we do not foresee an exit of the lysine business right away. Although it is true that we are not happy and satisfied with the performance at this point in time. The EUR 6 billion CapEx, we have announced since quite a while, I think we have explained or try to explain to you a couple of times that this is not carved in stone as far as the total sum is concerned over a period of 5 years. We have looked into this significant investment program on a project-by-project basis. And in those markets where we see a more delayed growth trajectory or, let's say, market conditions which are not fully supportive for the return of those investments, we have always the option to delay those projects as we have not started spending. So what you could expect that probably out of the EUR 6 billion CapEx from internal growth, we will not materialize the spending in the original timeframe as we have discussed this, let's say, 1.5 years ago. We have flexibility there. We have put some of the ideas, especially in the case of the methacrylate business, where we have a nice, very energy-intensive technology in the desk right now because the market is not supportive. So the message here is yes, we could do this. This is fully financed out of our internal cash flows, but we are waiting in some major projects here for better market conditions to go ahead with further spending. On M&A, I mean, you guys are sharp enough. If you look on our balance sheet, if you see how we improve our financial power here, what our current gearing is. So I think you can figure out what is reachable for us just out of the balance sheet that we have. We would also be happy if the opportunity occurs that we could change part of businesses or swap something, so there is a lot of opportunities in the market. Our point here is compared to a situation, let's say, 5 or 6 years ago, today, our options that we have for growth internally and externally are clearly enhanced. And that gives us more comfort on realizing and offering growth opportunities. So I would say, midsize acquisition is probably something well beyond EUR 1 billion. 
Martin Roediger: And the financial criteria? 
Klaus Engel: Financial criteria, Ute, can give you some more flavors? 
Ute Wolf: Yes, I think, first of all, the strategic fit is, of course, important, that we have a leading market position, technology position, that is in the scope of the business that we know. I think then for the financial criteria, it, first of all, has, of course, to be EPS earnings-accretive, also margin-accretive, margin-supportive. It has to outperform our ROCE target, our internal -- our hurdle rate, at least if you adjust then for the purchase price allocation, I think that is always a factor to keep in mind if you have bigger acquisitions. I think those are the most visible financial targets we can comment and, of course, then, growth -- contribution to overall growth, that's also a factor to watch. 
Operator: From Citi, we've got Andrew Benson on the line. 
Andrew Benson: Most of my quick question are answered. But can you just talk a little bit about the pension fund? There's been -- you changed your assumptions. Does that change the contributions that you are making? And can I just get a few -- a bit more flesh on your comments on the C4 business, just how optimistic you are on a turnaround during the course -- or an improvement during the course of this year? 
Ute Wolf: Yes. I'll start with the pension. I think that's a very much defined mechanism that we have to follow how to really determine the discount rate that is linked to AA corporate bonds. We have seen lowering yields, thus our discount rate also decreases, in this case, to a 3 point -- 2.5%. That increase is then the NPV of our DBO. The assets, of course, performed accordingly well as they also invested into long maturity bonds, but not as much of course as the liabilities. It does not change our funding plans. We have determined our funding schedule in 2010 and are pursuing that for the time being. So technically, it decreases a little bit the funding ratio for the time being. For the funding ratio, the liabilities increased stronger than the assets. Because they have a longer maturity, a longer duration. Yes, for C4, I think, overall, we see a slow recovery across the C4 chain compared to Q4 of 2013, both in terms of sales and earnings. For MTBE and butene-1, we see good volume development in the double-digit arena for butadiene and INA and DINP. They are already running at almost full capacity as they did last year. Despite the volume recovery, price-wise, it is another difficult quarter for the product. I think you can observe the butadiene price, which is continuously recovering but at a rather slow pace. And if you compare it to Q1 of last year, prices are still about 30% lower. For the other products, the MTBE factor is always -- also a little bit lower than in last year's Q1, and also INA prices compared to Q1 of last year are lower, but little bit higher than Q4 of 2013. For the outlook, I think we expect the volumes on high-level with more or less full plant utilization, but the price weakness of the C4 chain will only slowly recover. So that, overall, I think, we have a relative cautious sense regarding the price development for this year. 
Operator: Our next question comes from Andrew Stott from BAML. 
Andrew Stott: I had a couple. I'm going to start with lysine. I just wanted to go back and just give me a sort of more detailed appraisal of what's really gone wrong, and particularly, in that U.S. market that you referred to, and why -- sorry, the steepness of the cost curve in the industry. I'm also surprised you haven't seen any decent volume growth in that area, given where we are with soybean prices. I seem to remember a historical link there. And then secondly, coming back to the question on CapEx. You're obviously intimating that, that EUR 6 billion would may well not happen by 2016. Are you in a position yet to quantify what the new number will be? 
Ute Wolf: Okay. I'll start with the question regarding lysine. I think you're right, the market growth is intact. The market is growing at the expected pace. On the other side, I think we have seen quite some significant capacity additions in the last quarters, especially with CJ opening a new plant in the U.S. and very aggressively marketing the volumes. For Evonik, we have a very comfortable variable cost position, lower feedstock pricing. But as prices in the end markets are so depressed, of course, that overall does not lead to the right profitability. What is also positive on our side, as we have expanded our production site in Blair, our costs are [indiscernible] further improved, we are in addition, continuously working on improvement in the increased fermentation efficiency of our bacteria. We are optimizing distribution expenses and also the raw material sourcing and also our customer portfolios overall to do what we can to improve the situation here. 
Klaus Engel: Andrew, it's Klaus. On CapEx, so short term, we have budgeted for this year 2014 EUR 1.4 billion CapEx, max. And out of the original EUR 6 billion, referring to what I said before, the review of some major projects, it's probably not unreasonable to assume that it could be over the 5 years period, probably 10% to 15% less at the end of the day. 
Andrew Stott: Great. Can I just -- sorry, can I just ask one more? Ute, you referred to the phasing out the insurance payments. Can you remind me how much they were per quarter? 
Ute Wolf: I'm very sorry but we do not disclose these numbers as this is a private contract with the insurance company. So please... 
Andrew Stott: Okay. But just so I get the thrust of your comments correct, you're saying that the net impact of insurance minus the ramp-up now is probably not going to become neutral until Q4? That's sort of how I read it. 
Ute Wolf: Yes, that's right. That's right because insurance payments were calculated on earnings in 2011, so maybe that gives you some idea. 
Operator: From Commerzbank, we have Lutz Grueten on the line. 
Lutz Grueten: A couple of housekeeping items. Would be great to get a bit of understanding of the underlying performance of the Consumer, Health & Nutrition division by getting a better feeling on the ramp up cost, which have been booked in the first quarter. I appreciate that these are not adjusted. However, getting some ballpark numbers here would be certainly helpful. That's the first question. The second one, in previous time, you have given us the adjustments by division also to get the EBIT numbers and EBITDA numbers reported and adjusted. Would be great if you could also do this for Q1 2014. 
Ute Wolf: Yes. The ramp-up cost in Q1 in the segment Consumer, Health & Nutrition is a low single-digit million amount. For the adjustment by divisions, I think the adjustments were relatively low, the main part is regarding our STEAG option and stake valuation. So I think our Investor Relations will follow-up with details, but it's nothing big to really report upon. 
Tim Lange: Yes, since we got your message, we'll keep it included in our financials in the next quarter. 
Operator: And our next question comes from Andreas Heine from Barclays. 
Andreas Heine: I'd like to come back to the M&A topic. Would you also be prepared to use equity for large deals? So if you are beyond midsize, so EUR 1 billion, EUR 2 billion, that's how you clarified this midsize, and go even beyond this, would you go and use the equity I think you have asked at the Annual General Meeting for a 25% increase, optimal increase? So that's first on M&A. And second, would it be possible to split a little bit in the consumer health division what the impact was in the methionine prices being lower this year than last year and all the rest? So just a rough guidance how much of the decline in that division was methionine and all the other factors. 
Klaus Engel: What we are requesting at our general assembly right now is pretty much the standard option that almost all public-listed company in our country and beyond have it, so we want to be prepared formally for legal reasons in case we need this. So there is no urgent need or an urgent project that calls for that. But we want to be prepared here. And in order to minimize the efforts of bureaucracy, we want to keep this and want to get this done right in time. Generally, yes, of course, at some point in time, we would not rule out also to use equity, yes. 
Ute Wolf: Yes, concerning your methionine detail questions, I think I can only give you some indication here. I think we had a good volume development in Q1 compared to Q1 of last year, but the methionine prices were still in a notable range below the Q1 of last year. So between 10% and 15% lower across the board, it differs a little bit from market to market. 
Andreas Heine: And what does it mean roughly? How much was this methionine and how much was all the rest that you mentioned, so the lysine and the Baby Care lower volume? So if you split it in just these 2 big brackets, what would be the impact of methionine and what would all the rest be? 
Ute Wolf: I can understand your question very well, but please respect that we do not report on a very much detailed basis, product by product, so I can't give you -- cannot give you more details on that. 
Operator: Our next question comes from Marcus Diebel from JPMorgan. 
Marcus Diebel: Most of my questions have been asked. One again on M&A. With the comments you made earlier on, I mean, there was a little -- there were speculations on some, obviously, comments on Bloomberg on biomaterial science, obviously, given it's much higher to what you guided for in terms of M&A. But could you just clarify for us what your latest message on that topic is to the market? 
Klaus Engel: Yes, Marcus. With pleasure. I think you are all professional enough to understand that definitely, we will not comment on any market rumors for the time being. Be assured that we have done our homework in the recent years and also, we are updating our homework on a constant basis. So we are well aware what's going on in the industry, and we are aligning those developments with our criteria and our strategic targets. I think Ute has explained already that we're not looking for something new. We have pretty competitive financial criteria vis-a-vis the criteria of internal growth. So looking back, I think, we have been more picky on external growth, resulting in smaller acquisitions. And I think we have all the time to stay cool-blooded here and we'll not rush here into any adventures. Nevertheless, we do not want to say at the sideline as industry consolidation moves on further. We are monitoring this development very, very closely. And as I've said before, our options also to safely finance these trends actually in a more, let's say, bigger scale than probably what we did historically here. This is possible but we will take a very cautious approach here as we did in the past. So sorry that I will not comment on any speculation or things that have been discussed here in the media. 
Operator: And from MainFirst, we've got Ronald Koehler on the line. 
Ronald Koehler: One question regarding Russia and Ukraine. Can you perhaps specify your sales in these countries? Because you highlighted it as a risk point. Second question is the HPPO plant in China, I guess, is it now getting starting up or can you a little bit confirm the timeline on that? Third question also on the timeline of your C4 expansion in Europe, I believe you are already spending money on that, and obviously, the idea is to bring more C4 products on stream in 2015. Can you confirm that and perhaps if possible, is it something for the first half 2015 or more later, I mean, in second half 2015? And last but not least, Petronas confirmed their RAPID project in Malaysia. However, I read that the refinery will start in 2019. Initially, I believe, you were aiming for a startup for your plant in 2016. Is that still on track or will that be delayed? Any update on that would be helpful. 
Klaus Engel: It's Klaus. I will start with our view on Ukraine to give Ute a little bit more time to prepare the remaining questions. To be very clear, our exposure in this region is, today, still very limited with only about, I would say, 1% of group sales going through Russia and Ukraine. So sales-wise here, our exposure is not that big. And I can also confirm that we are not very much dependent here on any direct raw material streams from these regions. So the direct impact of the situation is very limited. Why did I raise this issue here also as a major factor in the outlook is, of course, we see Eastern Europe representing a significant emerging market in the front of our whole markets, and any fundamental change in the overall political climate with severe trade restriction would clearly not be helpful for the further economic development of the region. So I think we all listen to what's going on here in the politics, and we honestly hope that this will not be the case. But if we would enter in a worst case scenario of that kind, that major trade restrictions would occur, of course, there would be also spillover maybe in other regions, and that is something which we look at, at some concern. But it's not -- thanks God, it has not materialized this way so far. 
Ute Wolf: Okay. To your question to our new HPPO plant in Jilin, so our hydrogen peroxide plant is mechanically completed by the end of 2013 and ready for production. The propylene oxide plant built by our customer is also mechanically completed. But given that there are very low temperatures in the North of China, the first startup attempt resulted in some damages in the PO plant of our customer. So the startup there was delayed into Q2. And then once the equipment is repaired, now in the spring, and the ramp-up of both plants is now going on, so we are expecting to start very soon. Regarding your question on our C4 project, there are 2 parts, one in our plant in Antwerp and 1 here in Germany. So it's a 2-stage process. The first part will come onstream end of this year; and the second, in the first half of next year. Concerning RAPID, I think it's very early stage of discussion and there are no updates so far here from our side regarding that abroad project. I think we have given several press releases on that, but still the phase of discussions and early stage calculations and engineering. 
Ronald Koehler: But at the press release, initially we're aiming for 2016 startup, that is still possible then? 
Klaus Engel: No, Ronald. I think we are part of a value chain there, as well, and for internal reasons, and this is really a new greenfield investment in Johor, the southern province of Malaysia. Infrastructure has to be built from the scratch. Petronas itself has informed us a couple of weeks ago that there will be a delay, which is published right now. And of course, that gives us a little bit more flexibility, being more precise on planning what we do. We are still in close contact. The project team is in case, but it just gives us 2 more years to be prepared really here before we spent significant amounts and before we start to put steel on the ground. That's what it is. 
Operator: As there are no further questions in the queue, I would like to turn the call back to Tim Lange. 
Tim Lange: Yes, thank you very much. I guess this ends our call for today. Pretty efficient on a super reporting Tuesday. So I'll leave you for the other conference calls of the other chemicals peers, and yes, speak to you soon and goodbye. 
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.